Operator: Good day, ladies and gentlemen, and welcome to the Q4 2018 Cabot Earnings Conference Call. Currently at this time, all participants are in the listen-only mode. Later we will conduct the question and answer session and instruction will follow at that time. [Operator Instructions]. Also as a reminder, this conference call is being recorded. At this time, I'd like to turn the call over to your host to Steve Delahunt. Please go ahead.
Steven Delahunt: Good afternoon. I’d like to welcome you to the Cabot Corporation earnings teleconference. With me today are Sean Keohane, CEO and President; and Erica McLaughlin, Senior Vice President and CFO. Last night, we released results for our fourth quarter and full fiscal year 2018, copies of which are posted in the Investor Relations section of our website. The slide deck that accompanies this call is also available on the Investor Relations portion of our website and will be available in conjunction with the replay of the call. During this conference call, we will make forward-looking statements about our expected future operational and financial performance. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Additional information regarding these factors appears under the heading Forward-Looking Statements in the press release we issued last night and in our last annual report on Form 10-K for fiscal year ended September 30, 2017, that is filed with the SEC and available on the company’s website. In order to provide greater transparency regarding our operating performance, we refer to certain non-GAAP financial measures that involve adjustments to GAAP results. Any non-GAAP financial measures presented should not be considered to be an alternative to financial measures required by GAAP. Any non-GAAP financial measures referenced on this call are reconciled to the most directly comparable GAAP financial measure in a table at the end of our earnings release issued last night and available in the Investors section of our website. Also as we do typically here, I’d like to remind you that over the next several weeks in connection with divesting and restricted stock awards issued under a long-term incentives equity program, offices of the companies will be selling shares to pay tax and other obligations related to their awards. I will now turn the call over to Sean Keohane who will discuss the key highlights of the company’s performance. Erica McLaughlin will review the business segments and corporate financial details. Following this, Sean will provide closing comments and open the floor to questions. Sean?
Sean Keohane: Thank you, Steve. Good afternoon ladies and gentlemen. We are very pleased with our fiscal 2018 performance as we delivered a record adjusted earnings per share of $4.03 presenting a 14% increase compared to fiscal 2017. In terms of highlight, our strong commercial and operational execution drove outstanding results in reinforcement material as the segment delivered record EBIT of $279 million, up 45% as compared to last year, driven by volume growth, targeted mix improvements, higher pricing and increasing utilization levels. We continue to make advantaged growth investment in fiscal 2018, as we announced our plant expansion in Indonesia and a global debottlenecking program which combined will add approximately 300,000 metric tons to our worldwide carbon black network through 2021. In addition, we completed the acquisition of the NSCC carbon plant in China which we plan to upgrade to produce specialty carbons. These advantage investments will allow us to continue to meet the growing demand for our rubber and specialty carbons products. Both the Indonesia expansion and the new plant in China will contribute to the future growth of our carbon black businesses starting in 2021. In addition our two new fumed silica plant investments in China and the United States remain on schedule with our Chinese plants coming online in the fourth quarter of fiscal 2019 and the U.S. plants schedule to come online in 2020. Our TechBlend specialty compounds acquisition continues to perform well and we are successfully leveraging the synergies between our leading particle franchises and our unique downstream businesses. And finally, we continue to make great progress with our investments in energy materials as evidence by revenue growth of 70% in 2018 and successful program qualifications with the major global battery manufacturers. These are all examples of how Cabot is making advantaged investments in our core businesses to drive future growth for the company. Cash generation remains the core strength of Cabot and in fiscal 2018 we generated $299 million of operating cash flow despite a significant working capital headwind largely due to higher oil prices. We generate discretionary free cash flow of $254 million with a return of $222 million to shareholders through dividends and repurchases. On a full-year basis this represents $100 million in excess of our 50% target through incremental share repurchases. We remain confident with the cash generating power of Cabot and as such earlier in the year we announced the dividend increase of 5%, and an increase in our share repurchase authorization of 10 million shares with the expectation that we will repurchase 400 million of shares over a three-year period. In 2016 we launched our strategy advancing the core which lays out a roadmap for expanding our leadership in performance materials. The outcome of our strategy will be measured by sustained and interactive total shareholder return and underpinned by clarity and commitment to capital allocation. Specifically, we are targeting top tier shareholder return from 7% to 10% adjusted EPS growth over time combined with the capital allocation commitment to return 50% of discretionary free cash flow to shareholders. The results of our strategy are clear as we continue to deliver on our commitments. In 2018 we grew volumes above the market rate at 4%, realize 14% adjusted EPS growth generated strong cash flows and return more than 50% of discretionary free cash flow to shareholders. These results were achieved while making significant investments to support sustained earnings growth in the future. The results of our execution with total shareholder return for the year of 15%. Since the announcement of our strategy in 2016 we have successfully achieved each of our targets through disciplined execution and balancing growth investments with cash return to shareholders. Overall, I’m very pleased with our performance in 2018 both in the delivery against our financial objectives in the face of some challenging headwinds toward the end of the year and the balance of strategic investments that we’re making to drive long-term sustained performance. I remain confident in our ability to deliver attractive and sustained total shareholder return based on the combination of EPS growth and cash return. Let me turn now to China. With all of the recent commentary about China in the financial press I think it is important to give you an update on what we are seeing here in terms of market dynamics and the impact on Cabot. Let’s first talk about the market overall. China is the world's second largest economy and is projected to grow in the 6% to 7% range into the future. The country is also the largest market for the automotive, silicones and plastic segments, which are three-key value change for Cabot. China produces approximately 40% of the world tires and as such the global tire market is structurally dependent on China. It was evident to some slowing in light vehicle demand over the last few months as strong production in the first half of the year lead to vehicle inventory builds. This slowdown in vehicle demand means that OE tire demand and some industrial rubber products and specialty carbon and compounds demand also slows. On the other hand replacement volumes make up 75% of China light vehicle tire production and 85% of China heavy commercial vehicle tire production. This high portion of replacement tire productions serves both in domestic Chinese market as well as the global export market as Chinese tire supply replacement market all over the world. Thus demand trends for these tires are linked to miles driven trends globally and this volume picture remains robust. That’s the overall market view. Now let’s discuss Cabot position. We have a true market leadership position in China in our reinforcement material segment with three world-class carbon black plants. Key customer relationships with leading Chinese and multinational tire manufacturers, and most advanced product offering in the market. Multinational tire companies producing in China have greater exposure to the OE market as their sales are over index to new vehicles. While Chinese tire manufacturers have significant exposure to the replacement market both in China and for export. With our broad market participation we are well positioned and we have not seen an impact on our business. In fact in the fourth quarter our volumes increased by 6% in China. This strength has continued into October for us. As the preferred supplier to the industry, tire companies continue to seek out Cabot as a supplier partner because of our commitment to sustainability, product performance, reliability, quality and service. In terms of the performance chemicals segment, the slowdown in light vehicle demand is a factor impacting specialty carbons and specialty compounds demand. Volumes in both of these product lines decreased in China in September and October by low single digit. We believe this to be temporary given the solid underlying fundamentals for further car penetration and the likelihood for government-sponsored stimulus programs to positively impact demand. In our fumed silica business demand growth remains robust as the silicone industry continues to expand in China. After the plant turnarounds in the fourth quarter with our fence-line partner solid volume growth resumed in October for our fumed silica business in China. Looking ahead to the winter season when we expect emission limits to be strictly enforced again we anticipated that volumes and pricing will remain solid for us and environmental curtailment of our production will be limited due to our best-in-class environmental controls. We observed continued evident that China remains committed to stricter environmental enforcement. Since last year they have went into winter curtailment period by starting in October and they have increase the number of cities under the 26+2 emission limits. While these are strong signals of the government’s commitment to environmental enforcement, this is a balancing act for the Chinese government and we expect the situation to be dynamic as we progress through the winter months. Finally, with regard to the trade dispute between the U.S. and China it is important to recognize that there been U.S. tariffs on Chinese tires for many years and in fact, there are brand-new EU tariffs on Chinese truck tire imports. An increase in the level of tariffs typically results in a combination of both higher prices to an end consumer and trade flow changes, meaning import of tires to the U.S. may come from another lower-cost producing country while Chinese produced tires will be sold in other countries. This is what the industry experienced in the first wave of tariffs on Chinese tires. Given the China produces approximately 40% of the world’s tires there is a structural dependency on Chinese produced tires that will likely result in a shifting of trade flows and higher prices rather than a significant reduction in tire production in China. So in summary, our position in China is very strong. We have advantaged plants with world-class environmental control, technology, installation. We’ve cultivated deep relationships with our customers over three decades of operations in China and the preference for those companies to do business with Cabot has allowed us to continue to drive volume growth while expanding our margins as we help our customers migrate to the higher value product that Cabot makes. We have seen this trend continue into October and we feel we are well-positioned heading into fiscal 2019. I will now turn it over to Erica McLaughlin to discuss the financial results of the quarter in more detail. Erica?
Erica McLaughlin: Thanks, Sean. Now I’ll move on to the results for the fourth quarter of fiscal 2018. For the fourth quarter our adjusted earnings per share was $1 and total segment EBIT was $130 million, up 5% on a year-over-year basis. The reinforcement materials segment continue to deliver strong operating results with 33% growth on EBIT on a year-over-year driven by the impact from our 2018 customer agreement, stronger spot pricing and volumes in Asia and a better product mix. The performance chemicals segment results decline as compared to the prior year largely due to higher cost related to partner driven plan turnaround in our fumed silica network and spending on advantaged growth investments. In the quarter we also completed the acquisition of a carbon black manufacturing facility in China from Nippon Steel Carbon Company. This bolt-on acquisition will further support our growth objectives and broaden our capabilities as we convert a 50,000 metric ton plant to support our specialty carbons product lines. Cash flow was very strong in the quarter with operating cash flow of $163 million and we return $103 million to shareholders through dividends and share repurchases. Moving to more detail in reinforcement materials, during the fourth quarter and the full fiscal year of 2018 EBIT for reinforcement materials increased by $16 million [ph] and $86 million respectively as compared to the same periods in the prior year. The increases were principally due to higher unit margins and high volume. Higher margins were driven by calendar year 2018 tire customer agreement, higher spot prices in Asia and better product mix. A higher volumes in the fourth quarter were primarily due to strong year-over-year demand in Asia, while the increase in volumes for the full year was due to gains in the Americas and EMEA. Now turning to performance chemicals. EBIT in the fourth quarter of 2018 decreased by $15 million compared to the fourth quarter of fiscal 2017. The decrease in the EBIT was primarily due to 13% lower volumes and increased costs related to maintenance turnarounds during the quarter for the metal oxides business. While these were plan, the impact was larger than expected due to the longer than plant downtime and affected both volumes and costs. While we were estimating a mid single digit $1 million impact in the fourth quarter, the total impact to metal oxides was $9 million for the quarter. We also experienced tire cost related to new capacity investments in fumed silica and for feature growth in our energy materials product line. Partially offsetting these impact were 6% higher volumes in specialty carbons and formulations driven by growth in specialty compounds just slight a weakening trends in September. Volumes in specialty carbons and formulations were trending as expected with strong growth in both July and August. The September volumes decline. The September decline is concentrated in China and Europe and driven by a combination of inventory destocking and software automotive demand. For the full fiscal year performance chemicals EBIT was roughly flat, with the decrease of $1 million compared to fiscal 2017. This is due to an increase in fixed cost and higher spending for our growth investments that offset higher volumes in specialty carbons and formulations as well as higher margins across the segments. The segment demonstrated strong commercial execution during the year as specialty carbons feedstock costs rose throughout the year and we’ve successfully implemented price increases to offset the higher raw material prices and expand margins. EBIT in the fourth quarter of 2018 and purification solutions decrease by $3 million compared to the fourth quarter of last year and $13 million [ph] compared to fiscal 2017. A decrease in both periods was driven by the ongoing competitive intensity in the mercury removal and other North American powdered activated carbon applications. This was partially offset by higher volumes in the specialty applications and lower fixed cost. In fourth quarter of 2018 EBIT in specialty fluids increased by $7 million compared to the fourth quarter of 2017 due to larger projects in the Africa, Middle East and Asia region as compared to the same period in the prior year. For the full year specialty fluids EBIT was roughly flat as compared to 2017. I’ll now turn to corporate items. We ended the quarter with the cash balance of $175 million and our liquidity position remains strong at $900 million. During the fourth quarter of fiscal 2018 cash flows from operating activities were $163 million including a decrease in networking capital of $85 million. Capital expenditures for the fourth quarter of fiscal 2018 were $69 million and additional uses of cash during the fourth quarter included $20 million for dividend, and $83 million for share repurchases. Sources of cash in the quarter include $26 million of proceeds from the sales of land in India at a location of one of our previous plants which were used to partially fund our share repurchases in the quarter. During fiscal 2018, we generated $299 million of cash flow from operations including an increase in networking capital of $110 million driven by higher oil cost. Capital expenditures for fiscal year 2018 were $229 million. Additional uses of cash during the fiscal year included $80 million for dividend and $142 million for share repurchases. Share repurchase were partially funded by $50 million of proceeds related to land and investment sales in Asia as we return this cash to our shareholders. During the fourth quarter of fiscal 2018, the company recorded a tax benefit of $1 million for an effective GAAP tax rate of negative 2%. This included a benefit from tax certain items of $19 million. The operating tax rate for the fiscal year ended September 30, 2018 was 21%. As we look toward 2019 we expect capital expenditures of approximately $250 million to $300 million. We anticipate an ongoing operating tax rate in the range of 22% and 24% with an increase largely due to the impact of the U.S. Tax Reform Act. I will now turn the call back over to Sean.
Sean Keohane: Thanks Erica. Now I’d like to spend some time discussing our segment outlook for 2019. For reinforcement materials we continue to see a supportive environment with high industry utilizations around the world. We are very pleased with the results of the 2019 tire agreement thus far, where we achieve price increases and volume growth in all regions. Despite some signs of softness in the news related to China we remain confident about our position in China and expect to continue to see solid volume growth and maintain our margins given our investments in world-class environmental controls. In addition, our debottlenecking projects continue to add capital efficient capacity to our carbon black network to enable volume growth in 2019. Through 2018 this segment was operating at an impressive quarterly EBIT run rate between $65 million to $75 million. With the new calendar year 2019 customer agreement and anticipated volume growth we expect the quarterly EBIT run rate to increase to $75 million to $85 million starting in the second quarter. In performance chemicals the underlying fundamentals for our specialty businesses remain quite strong, but we expect to face near term uncertainty in the first fiscal quarter from the impact of new fuel economy and automotive emission regulations in Europe, higher raw material cost across the segment and a potential for inventory destocking in our plastics applications resulting from moderating polyethylene prices. We believe that these impacts are temporary and will largely be behind us after the first fiscal quarter with EBIT growth in the second and third quarters. In addition, we will begin to see the benefit of our new fumed silica plant in China coming online during the fourth quarter. Furthermore, grow from new customer qualifications and next-generation products in our energy materials product line is expected to continue to build throughout the year. In 2018 the quarterly EBIT run rate for the segment was roughly in the range of $45 million to $55 million. Looking ahead to 2019 we anticipate that after the near term uncertainty the segment will see an increase in the quarterly run rate to $55 million to $60 million as we move through the year. In purification solutions we anticipate the North America powder market to remain challenging. As a result, we are taking steps to improve the performance of the segment with a transformation plant. This realignment of the business is to more aggressively focus the portfolio, optimize our assets and streamline our organizational structure to support the new focus. We expect these steps will begin to positively impact the business in Q2 and will lead to approximately $10 million of run rate improvement in the year. Thus we anticipate the business will deliver EBIT in the range of 0 to 10 million for fiscal 2019. Finally, this specialty fluids segment continues to benefit from key projects in Asia, Middle East and Africa region with visibility for solid performance through the first half of the year. We expect EBIT for 2019 to be in the range of $10 million to $15 million. Looking forward, I feel very good about the opportunities that lie ahead of us. We remain in an environment where utilization rates are high globally across the carbon black and fumed silica industries. Underlying demand is strong and the ability for the industry to add new capacity remains challenging. The outlook for 2019 remains quite strong and results will build as we move through the year. Therefore, based on our current view of the markets we serve and macroeconomic conditions, we anticipate adjusted earnings per share for 2019 to be in the range of $4.35 to $4.75. This would mark the fourth consecutive year strong earnings growth for Cabot as we continue to successfully execute our advancing the core strategy. Thank you very much for joining us today. And I will now turn the call back over for our question and answer session.
Operator: Thank you. [Operator Instructions]. Our first question comes from Mike Leithead from Barclays. Please go ahead.
Mike Leithead: Good afternoon guys.
Sean Keohane: Good afternoon.
Mike Leithead: I guess to start out, strong momentum in reinforcement materials, could you help size for us the magnitude of price and volume growth you expect in the segment heading into 2019 maybe relative to what you accomplished here in 2018?
Sean Keohane: Sure. Well, I think in terms of our overall outlook for demand, we continue to see that this market on a global basis should be growing in and around the 3% range. So pretty consistent with what we will communicate it during our Investor Day deep dive. So I think the underlying demand fundamentals are quite strong. And then, in terms of how we see pricing develop over the coming year, I would start by sort of characterizing the supply/demand environment and say that its favorable and expected to remain so given the limited new capacity additions and I think the toughening environmental standards globally. So this is certainly driving our cost of compliance and new growth investments they are customers need. So as a result we need substantial price increases to generate the appropriate return on capital. We’re very pleased as we sit here today with where our contracts outcomes are settling thus far. We’ve achieved price increases in all regions along with balance volume growth at the market rates. And we’ve given you the EBIT run rate progression for this business in 2019 and so the magnitude of price increases was included in those expected ranges. So you can see there’s a pretty sizable step up there and our outlook here remains very positive for this business.
Mike Leithead: Great. That’s helpful. And then on the share repurchase program you stepped it up a bit here in the fourth quarter. Is it fair to assume that the rate should remain elevated here given where shares are today relative to the past quarter? Or are there some other financial considerations there that might moderate the pace of it?
Sean Keohane: Yes. Well, I think first and foremost, I would start by saying that our corporate strategy and our capital allocation framework include a commitment to consistent return of capital to shareholders through dividends and share repurchases. And so that capital location commitment remains. Now in the previous quarter we did step up our share buybacks in that period of time and are certainly very comfortable with that decision here given our view of the full value of the firm. I think as we go forward we’ll be guided by our consistent return of capital to shareholders and so that target of returning 50% of our discretionary free cash flow remains I think the right one for the company. And certainly where price levels are today we think the stock is significantly undervalued.
Mike Leithead: Great. Thank you.
Operator: Thank you. Our next question comes from Jim Sheehan of SunTrust. Please go ahead.
Unidentified Analyst: Hi. This is Pete on for Jim. Could you share any visibility you have on any future turnarounds you have planned? And what is a normalized rate per year for turnarounds look like versus what you experience in fiscal 2018?
Sean Keohane: Well, I think it’s a little bit different by business, but the notion of chemical plants having regular turnarounds, annual turnaround at a plant, sometimes every two years, that’s a very common phenomenon in the chemical industry. Now it differs by business, so whether we’re talking about carbon black or fumed silica. And I would say, the expectation as we go into 2019 on turnarounds in our carbon black business would be kind of as we’ve seen over last year, no real changes but you can see shifts from quarter to quarter, the specific timing from quarter to quarter. But the full year turnaround profile I would say is basically consistent with where we were in 2018. In fumed metal oxides the turnaround dynamic is slightly different here because we have fence-line plants with our feedstock partners. And so, those turnarounds are always synchronized with our feedstock partner, our fence-line partners and the schedule is largely dictated by them. So when they’re doing a major turnaround of their silicone plant then we would have a synchronize turnaround of our fence-line silica plant. So the dynamics there are slightly different than you have this partner relationship thing that they had to get manage. And so certainly in Q4 we had an elevated level of turnaround activity in the quarter. We expected this, but we have three plants in turnaround during that quarter and I would say that specific quarterly profile was quite unusual. But again if you pull that from that quarterly dynamic and look at it on a sort of a full year basis, I would say it behaves similar to the carbon black and that you have these every year or two and in every major plant.
Unidentified Analyst: Thanks. And then on the purification solutions performance improvement plant, does this primarily involve walking away from lower margin volumes or is there another element to it? And what percentage of the business are you targeting?
Sean Keohane: So, the plan is really a three-point transmission plant and first and foremost its focus and so what we mean by that is being very discerning about which applications we participate in and ensuring that those have the right profit profile for sustained participation. The second part of it is related is looking at how our overall asset line up against those participation choices. And then third, really looking at the structure, the organizational structure to serve this business, so those are three key points, and of course, they are all connected. I think it starts with making real choices around focusing business in areas that we feel confident have longer term profit potential.
Unidentified Analyst: All right. Thank you.
Operator: Thank you. Our next question comes from Kevin Hocevar from Northcoast Research. Please go ahead.
Kevin Hocevar: Hey, good afternoon everybody.
Sean Keohane: Hi, Kevin.
Kevin Hocevar: I wonder if you could comment back in terms of contract pricing for 2019. I wonder if you can give – I know you probably can get too much in terms of specifics, but if you think about the magnitude of pricing that was realized in 2018 versus what you’re realizing in 2019, can you kind of compare it. Are they similar? Are you realizing more in 2019? What’s kind of the way, if you just look at that contract piece, what you’re seeing there?
Sean Keohane: Yes. Well, probably the best place to start, Kevin is to kind of look at the overall industry dynamics. And what we see here is a -- I think a favorable and I would say sort of progressively more balanced supply/demand situation in the globe, so more balanced this year than last year. And our outlook over the next few years is that will be the case as there aren't any sort of material capacity adds in major parts of the world. And then of course the overarching trend of greater environmental enforcement I think is impacting. So, I would say, that’s the profile that we see. And as a result of that we would expect in order to serve our customers we’ve got to achieve substantial price increases to cover the cost of those environmental investments and to support them with the long-term growth they need. So that’s the trajectory in the business and we saw price increases last year and we’re very pleased with where we have come out this year and we have shared with you an expectation of how that quarterly range will step up here and its pretty significant. So our expectations are embedded in that step up.
Kevin Hocevar: And then in terms of Asia too that was really helpful to hear the commentary that you gave earlier in the presentation on China. So wondering, is your expectation there, it sounds pretty good and so I guess, I just want to understand, is the expectation here you’re going to grow volumes and earnings. And it sounds like maybe grow volumes and maintain margins in the year? Is that the expectation then and also in terms of the curtailments could you give us some thoughts on that you’re seeing this winter, it seem like this could be more of a targeted curtailments to more of the offenders whereas I know Cabot is compliant with the regulations? Are you noticing that others are having to see more curtailments than you are this year? And do you think you can outperform the market in terms of volumes as a results over the next quarter or two?
Sean Keohane: Yes. So, I think on the environmental front, again in China we definitely expect to see the industry, I think, we have to deal with winter curtailment. So I think that should have remains the case here. And certainly if you look at – if you sort of step back from it, Kevin, and look at China’s commitment to environmental enforcement, I think the signals are strengthening result, but we are seeing that they’re approach to implementation is morphing a bit. And that it will be based more on emission targets rather than specific production cut. So last year you might remember that there were sort of specific production cuts mandated and this year I think they’re trying to focus it a little more on emission target and so what that means is that it will, I think be more focused and targeted at the non-compliant – the non-compliant players. But, our view certainly is that, that is going to continue. So right now, we expect that our leadership position here is going to continue to allow us to run our plants with -- with no material or real impact from the curtailments, because we've got the emission controls in place, and that should drive I think preferentially customers to the Cabot value proposition. And we look today at where we're kind of pricing and margin levels are in China, and they're quite healthy. So, that's the that's the current outlook. But I think, it's important to remember that this is a balancing act for the Chinese government and exactly how it plays out will be pretty dynamic, but they lengthen the winter period. They've increased the number of cities that are subjected to the 26 plus 2 emission limits. And we're seeing clear evidence that they are in fact going after people that aren't compliant. So I think those trends don't change here.
Kevin Hocevar: Okay. Great. Thank you very much.
Operator: Thank you. Our next question comes from Jeffrey Zekauskas from JPMorgan. Please go ahead.
Jeffrey Zekauskas: Thanks very much.
Sean Keohane: Hi, Jeff.
Jeffrey Zekauskas: Hi, in your description of how much you thought you might earn in Reinforcement Materials. You said, well, maybe we'll earn $75 million to $85 million a quarter. So, if we take the midpoint, so that's 80, so that's $320 for the year. So you would be up about $40 million in Reinforcement Materials if we took the middle of the range. But in 2018, you were up $86 million. So why are you so pessimistic about your prospects in Reinforcement Material and now you seem to think that you're -- you'll grow at about half the rate even though you describe the market as being tighter and your volumes are growing.
Sean Keohane: Yes, so a couple of things Jeff. First of all that, obviously our contracts run on a calendar year basis. So -- the first quarter here is the old contracts, so there'll be three quarters of the benefit of the new, the new run rate that we share. And so I think overall, the industry dynamic is very favorable and we are projecting good momentum in this business. I think the difference here. First of all, I would say the step up of $80 million in 2018 is a pretty significant step up. And so to expect that a business like this is going to have another step up of the same magnitude, I think in the long term is not the right way to think about the business. But, the other thing I would say is that a material part of that step up has been the way that we have outperformed in China, as a result of the environmental enforcement here. And so if as a result of that leadership position we can continue to grow our volumes and maintain what our -- I would say reset substantially reset economics. That's a -- that's a really good outcome. So I think it's important to sort of break it into those buckets, the long term contracts part of it. I think continued really good momentum and then the reset in China and how we're balancing that going forward. I don't think you see a similar sized reset this year was quite substantial in 2018.
Jeffrey Zekauskas: Maybe if I can try one for Erica. Your working capital use was $110 million this year, and your receivables and inventories were way up. All things being equal, should you have a working capital benefit next year or do you think you'll have a [Indiscernible] given where raw materials are?
Erica McLaughlin: Yes.
Jeffrey Zekauskas: As the best case.
Erica McLaughlin: So the usage in this fiscal year was largely driven by the rising raw material cost and so the impact of that both in the inventory levels and the accounts receivable balances as we passed the higher costs to our customers and pricing. So if we go to next year and if we have a flat oil environment you would not see a similar step up that we saw this year. And if you see oil prices decline, then that would generate a source of cash for us. So it will depend on if we see a stable oil price increasing or decreasing to see that level. But, I don't think we expect to see the level with which we saw in 2018 repeat in 2019.
Jeffrey Zekauskas: Okay. And then maybe you said it already. But how much is left in your domestic environmental spending to be compliant with the EPA regulations? What was the total spending what's left?
Erica McLaughlin: So total spending, I think we expect it to be about $130 million for all the plants, complete at one, largely completed another and we have one left. So I would say we probably have in that number probably somewhere around $50 million to $60 million less for the final plant to be compliant.
Jeffrey Zekauskas: So your CapEx should really step down beginning in 2020 then?
Erica McLaughlin: That’s when that group, when the U.S. investments would be largely finished, the last thing is 2021 when that has to come on line. So after that, we would see that spending come back down.
Jeffrey Zekauskas: And then lastly, in your specialty black business, that's tucked inside of Performance Chemicals. What happened to the margins of that business in the quarter? Were they up a lot and similar to what happened in rubber block, were they flat, were they down? What happened there?
Erica McLaughlin: So I think overall, when you're looking at Performance Chemicals as you noted, the blended margin that you see. So you define it largely attributable awarded to the few metal oxide business. And so, as we saw the volumes in the increased spending and turnarounds come down, since that is the highest margin piece of that segment you did see a deterioration in what’s reported EBITDA margin. I think as we look forward, we expect those EBITDA margins to go up. I think, with your isolating specialty carbons, we have been successful in passing through the rising feedstock cost as we've gone through the year. And so margins have actually improved in that business when you when you look at it for the year. So I think we feel quite confident that going into next year, we would not see the fourth quarter impact with the absence of the metal oxides turned around and then the rising carbon margin as we would move through the year with the feedstock cost having being offset.
Jeffrey Zekauskas: Was the specialty carbon margins up or down in the quarter year-over-year ?
Erica McLaughlin: They were largely flat in the quarter year-over-year.
Jeffrey Zekauskas: Okay, great. Thank you so much.
Operator: Thank you. Our next question comes from Chris Kapsch from Loop Capital Markets. Please go ahead.
Christopher Kapsch: Good afternoon. I had a couple of follow up, just on the contract that sound like they're largely in place for calendar 2019. You mentioned higher price and volumes. The question is, is the volume increases that you're seeing. Are those consistent with the way your customers see the market developing or did you actually also pick up some volume share as those contracts have concluded now?
Sean Keohane: Chris, this is Sean. How are you? So I would say here, they're largely in line with the market, the market growth rate.
Christopher Kapsch: Got it. And then so as you bracketed your -- the outlook for fiscal 2019 in terms of the EPS, could just maybe talk about some of the things -- that some of the levers that you think are more uncertain right now that could sway the end result towards the high end or conversely towards the low end of that range that you've provided.
Sean Keohane: Sure. Sure. So I think there are a number of factors here that could move things in and around inside that range that we talked about. I think first and foremost how we progressed through the winter season in China, because China is such a big part of the global carbon black market in the global tire market. How that plays out, I think is a -- is a factor that's fairly significant, and can have you with different outcomes across that range. Now we were very successful in managing that in 2018 and so we feel good about our ability to manage that. But how exactly China plays this out is a balancing act for the Chinese government and is a bit dynamic, and so we'll just have to see. But I would say that's one fairly significant variable that could, they could, it could swing things here. I think another one is in our performance chemical segment. We have seen as Erica commented in late -- in the quarter in September some destocking and demand softness and as we look across in the applications here many of them are into the plastics markets. And when polymer prices either moderate or accelerate you typically see a pipeline emptying or rebuilding. And so right now with them moderating, we're seeing some pipeline depletion. And if that persists, then that could that could impact you on the downside if it reverses, then you typically see people accelerate their purchases. And the reason for this is pretty simple, that the people downstream of us are converters, injection molding things like that. They tend to be smaller enterprises, and they're concerned about getting caught with high priced polymer in the face of declining prices. And on the flip side, when polymer prices start moving the other way, they try to buy a little bit, and trade on that anticipation that prices are going up. So that's another factor and a pretty significant part of Performance Chemicals goes into this sort of broad plastics value chain. So that would be a second one that I would, I would say that we are always watching and trying to manage in a very dynamic way. And then the third one would be, how overall feedstock levels particularly in specialty carbons play out. We were chasing this for pretty much the full fiscal year 2018 as Erika said on a full year basis. We got full recovery there. So that's good. But we were chasing it throughout the year, and if we find ourselves in that position again, then that could be a challenge. If the price is moderate a little bit, then that could be a margin benefit, as we can hold on to pricing there better be a more value oriented set of markets. So, those would be a few Chris, that I would say are the most prominent, has to be thinking about and what we think about as we as we lay out a range.
Christopher Kapsch: Yes, that's very helpful. I appreciate that. And then, if I could just follow up one quickly on the few metal oxide business and the shutdowns, which were, I guess more extended, or more acute in terms of impact than you expected. Are those to the effect there is it --is it your time partners, they shut down their silicones production, and you just didn't have fumed silica, or did they also curtail their production of last, because I understand a part of that the relationship there is feeding back fumed silica as a filler to the last summer production, and so wondering if there's weakness on their behalf in that business or is it really just a function of having enough of your raw material available to service a broader mix of customers? Thank you.
Sean Keohane: Yes, so I think two big factors here that impact -- impacted the result in the quarter. One is that the turnarounds were a bit longer than expected and anytime you have a synchronized set of activities it's not uncommon that you uncover things on either side of the fence that they need to be dealt with. And so the length was a little longer, which drove up costs a bit higher. And then you also have the volume impact because these customers then consume a certain amount of that silica in their own -- compounds as you as you mentioned. That’s exactly right. There's a volume impact and the cost impact. And while all of these turnarounds were planned, the fact that they were a little longer and the volume impacts of coming back online were a little more pronounced that was a bit unexpected for us.
Christopher Kapsch: Okay. Thanks for the color.
Operator: Thank you. Our next question comes from Loris Alexander from Jefferies. Please go ahead.
Loris Alexander: Good afternoon. Could we go back to the discussion about outages and I guess can you characterize it from two angles. One is, given the utilization rates that the industry is running at now. Are you seeing any change in the risk of significant outages that could change a regional supply demand balance? And related to that, when you talk about -- when you discuss pricing with customers and they see the same trajectory that you, do they take the attitude of, okay well, there's a point in the calendar where it makes sense to move pricing up to a reasonable return on capital to incentivize a new project, or are they waiting for the industry to be tight enough to create the kind of fly up that we see in other much more commodity businesses in order to then incentivize new capacity build. I mean, how are they thinking about managing the tightness that's evolving in the industry given the rising costs you have for building plants?
Sean Keohane: So maybe here the first part of your question Loris, I'll try to address first and then and then hit the second part. So in terms of outages, given the high utilization rates in general that outages whether they're planned outages or unplanned outages, have a more pronounced effect, because the industry is just operating at a much tighter level. And so, it certainly then does put a premium on being very well organized and well-structured and disciplined around your planned outages, because you don't have slack capacity somewhere else to fill that demand for customers. So that's it definitely gets more pronounced. A few years ago when there was more capacity in the industry, a player that might have an unexpected or an unplanned outage could rebalance their supply chain and source from another plant and customers had options to do the same. That dynamic has really narrowed here. Now, I mean in terms of how customers are thinking about the long term here, I think clearly given their growth investments and I'm talking about Reinforcement Materials here each business is of course a little bit different, but in Reinforcement Materials what we're seeing is customers are concerned about long term supply reliability and are concerned about having suppliers that they have the right sustainability profile, because those environmental pressures are becoming more and more clear and pronounced, and each of our customers have their own sustainability commitments and expectations as well. So who they align with is becoming more and more important for them and for their value set. So, I think as a result, they are engaging in a different way around the need for price increases and why those are necessary in order to support the investment level economics. And I think that only if that happens in a sustained way will the industry build capacity to support their growth. So I think this is in sort of a logical progression in conversation. First, realization of the supply demand balance. Second, I think a full realization of the long term sustainability trajectory that I think the industry is on. And third, they need to get reinvestment level economics in a good stable place in order for suppliers to be encouraged to expand in a prudent way to help them. So I think we're in a fairly logical conversation at this stage.
Loris Alexander: And then just to clarify or confirm that your -- in your view the current levels are adequate for de -- what we what one might call de-bottle necking economics, but not reinvestment economics.
Sean Keohane: I would say in general, yes, but it depends by region. So certainly the de-bottleneck economics are very capital efficient and given where the EBITDA margins are in this business, in relation to the capital cost of a de-bottleneck, there is absolutely no question. Those are those are highly attractive projects. Then depending on where you are in the world, your comfort with reinvestment level economics changes. So, for example, our plant in Indonesia given the supply demand, environment the changes in China and the fact that at this point there are not the same level of emission control requirements there that, that capital return on that project which is a brownfield makes a lot of sense for us, hence we’re doing it. But if we were to sort out in a hypothetical say or the economics yet in North America at a point they could support Greenfield economics plus the emission controls, we would say no. And so therefore we need we need higher pricing in order to get to that level. So it is a little bit depends on where you are in the world. But for sure on the de-bottlenecks those are very attractive projects to do not get current at current levels.
Loris Alexander: Thank you.
Operator: Thank you. Our last question comes from David Begleiter from Deutsche Bank. Please go ahead.
David Begleiter: Thank you. Sean, given where your stock prices and your leverage which is not that high, would you consider front loading, the share buybacks and point nineteen perhaps?
Sean Keohane: Well, we certainly David believe that the stock to be significantly undervalued. Our commitment here is for no consistent return of capital. And so we would like the share price in relation to our sum of the parts this past year and we really like it now. So I think we'll certainly be committed here in the year to return that capital, and again looking at where it is right now. It's pretty attractive relative to our sum of the parts.
David Begleiter: And just quickly on Performance Chemicals in Q1, should this business be up on a segment earnings basis year-over- year?
Sean Keohane: Sorry, David, say it again.
David Begleiter: Performance Chemicals should segment earnings be up year-over-year in Q1?
Sean Keohane: Up year-over-year or you mean sequentially?
David Begleiter: Year-over-year
Sean Keohane: Well so Q1 is a seasonally traditionally seasonally weak quarter, so that that's true, but that doesn't that doesn't affect your year-over-year comparison. That's more of how things progressed throughout the year. On a year-over-year basis it really comes down to how growth is developing. And as we sit here today, looking at Q1 we see that there certainly were some effects in late Q4 from destocking and we wouldn't be surprised if those persist into Q1. So our view at this point is that if they persist in Q1 then we'll see a step up in Q2 and 3 as that as impact diminishes and then we head into what are normally very strong seasonal volume quarters of Q2 and Q3. So that's how we see the year, the year developing at this point.
David Begleiter: Thank you very much.
Operator: Thank you. This concludes our Q&A session. At this time I'd like to turn the call back over to Sean Keohane for closing remarks.
Sean Keohane: Great. Thank you again everyone for joining us on the call and for your support of Cabot and we look forward to talking again next quarter. Thank you.
Operator: Thank you, ladies and gentlemen for attending today's conference. This concludes the program. You may all disconnect. Good day